Operator: Good evening, ladies and gentlemen. Thank you for standing by. Welcome to Allison Transmission's First Quarter 2022 Earnings Conference Call. My name is John, and I will be your conference call operator today. .  I'd now like to turn the conference call over to Mr. Ray Posadas, the company's Managing Director of Investor Relations. Please go ahead, sir.
Raymond Posadas: Thank you, John. Good evening, and thank you for joining us for our first quarter 2022 earnings conference call.  With me this evening are Dave Graziosi, our Chairman and Chief Executive Officer; and Fred Bohley, our Senior Vice President, Chief Financial Officer and Treasurer.  As a reminder, this conference call, webcast and this evening's presentation are available on the Investor Relations section of our website, allisontransmission.com. A replay of this call will be available through May 4.  As noted on Slide 2 of the presentation, many of our remarks today contain forward-looking statements based on current expectations. These forward-looking statements are subject to known and unknown risks, including those set forth in our first quarter 2022 earnings press release and our annual report on Form 10-K for the year ended December 31, 2021.  Uncertainties related to the war in Ukraine, the COVID-19 pandemic and related responses by governments, customers and suppliers and other factors as well as general economic conditions. Should one or more of these risks or uncertainties materialize or should underlying assumptions or estimates prove incorrect, actual results may vary materially from those that we express today.  In addition, as noted on Slide 3 of the presentation, some of our remarks today contain non-GAAP financial measures as defined by the SEC. You can find reconciliations of the non-GAAP financial measures to the most comparable GAAP measures attached as an appendix to the presentation and to our first quarter 2022 earnings press release.  Today's call is set to end at 5:45 p.m. eastern time. In order to maximize participation opportunities on the call, we'll take one question from each analyst. Please turn to Slide 4 of the presentation for the call agenda.  During today's call, Dave Graziosi will review highlights from our first quarter 2022 results and provide a brief operational update. Fred Bohley will then review our first quarter financial performance and affirm full year 2022 guidance prior to commencing the Q&A.  Now I'll turn the call over to Dave Graziosi.
David Graziosi: Thank you, Ray. Good evening, and thank you for joining us. I'd like to begin by acknowledging the tragic events that have unfolded in Ukraine. In compliance and support of the actions taken by the United States and its allies, we have ceased all operations in Russia and associated regions. Russia and Ukraine accounted for less than 1% of Allison's revenue in 2021. We do not have a manufacturing presence in the region nor any direct exposure, as it relates to sourcing of raw or direct material.  Turning to the quarter. I'd like to thank the Allison team and our partners for their outstanding efforts in delivering the solid execution and strong performance we are reporting today. Following a notable year in 2021, first quarter 2022 results continue to demonstrate momentum for Allison's growth objectives. Net sales accelerated to $677 million in the first quarter, returning to pre-pandemic levels and producing the third strongest revenue quarter in Allison's history. Strong customer demand in our Global On-Highway end markets continues to drive us. This unprecedented recovery despite persistent and global supply chain challenges.  In particular, the outside North America On-Highway end market, which was the first end market to reach pre-pandemic levels and led the recovery in 2021, achieved record quarterly revenue during the first quarter of this year. And this end market remains positioned for further growth, driven by multiple initiatives around the world. Allison's strong recovery and post-pandemic results are largely attributable to the team's operating experience and persistent and disciplined execution through multiple cycles across all of our end markets. Today, we are realizing the benefits of Allison's growth objectives and our continued success remains aligned with our long-term strategy of continuous global market leadership expansion.  Last quarter, we discussed several initiatives that are supporting Allison's long-term growth objectives. Among them was Allison's award-winning 3414 Regional Haul Series fully automatic transmission for North America, heavy-duty Regional Haul and day cab tractor market. Currently, released with Navistar, Daimler Trucks North America and Volvo Trucks North America, the 3414 RHS expands our addressable market, enable us the pursuit of market share growth and represents an incremental revenue opportunity of $100 million annually for Allison.  Earlier this week, we announced one of the largest private fleets in North America and a major wholesale restaurant food distributor has selected the 3414 Regional Haul Series transmission for its fleet. The 3414 RHS will be integrated into Navistar's RH Series trucks designed to provide customers with optimal productivity and maneuverability, and represents an annual purchase of up to 450 units. Elsewhere in North America On-Highway end market, the Allison 3000 Rugged Duty Series fully automatic transmission will now be offered in the Mack MD series. This release broadens Mack's medium-duty product portfolio to include heavier applications that require increased power and vehicle weight ratings. It also expands the MD Series addressable market to vocational customers and applications such as refuse, recycling, propane delivery and construction.  Allison's 3000 Series Rugged Duty is the third transmission option in Mack's medium-duty product portfolio. Allison's 2500 Series is currently standard on Mack's medium-duty line and the Allison 2500 Rugged Duty Series is optional.  Another growth opportunity introduced last quarter was the widebody mining dump truck initiative in China. This program leverages Allison's existing and proven 4000 Series fully automatic transmission, and represents more than $50 million annually in incremental revenue potential for the Outside North America On-Highway end market.  During the first quarter, multiple awards were announced in support of this initiative. These awards include domestic opportunities with Beishan fleet, a renowned mining and infrastructure company based in Xinjiang, China, and Wugang mining machinery company in support of the Chinese export market. During the first quarter, we also announced the start of production for Allison's next-generation electronic controls platform built on decades of technology evolution and application experience and combined with a state-of-the-art microprocessor and software operating system. This next-generation platform features advanced communications, functional safety, cybersecurity and over-the-air programming capability.  OEMs such as Freightliner Custom Chassis, Mack trucks, Prevost and MAN are leading the transition to this next generation of Allison electronic controls in an effort to realize the state-of-the-art capabilities enabled by this platform.  Next, we are excited to unveil Allison's new Innovation Center in March, located on the campus of our headquarters and primary manufacturing complex in Indianapolis. An all new engineering center of excellence will promote innovation and collaboration, and features enhanced product and technology development, and validation capabilities to support Allison's customers, industry partners and suppliers. Allison's innovation center will further the evolution of next-generation commercial vehicle propulsion. This includes Allison's eGen Flex electric hybrid propulsion system, which received its inaugural certification from the California Air Resources Board earlier this year.  Introduced into revenue service in 2021, Allison's eGen Flex has demonstrated the ability to operate in full engine off mode for more than 50% of its time and operation across multiple routes within one of North America's largest transit fleets.  In the United Kingdom, Allison was recently selected to provide the propulsion system for the country's first hydrogen fuel cell electric powered refuse collection vehicle. The vehicle will be built on a Mercedes-Benz, iconic hydrogen chassis and is the latest development in Aberdeen City's, Hydrogen Aberdeen Initiative, which aims to bring about a hydrogen economy in the city's region. In 2018, the Aberdeen City Council deployed the U.K.'s first hydrogen-powered sweeper vehicle, which also features on Allison propulsion solution.  And in 2 weeks at the Advanced Clean Transportation Expo in Long Beach, California, we will be announcing exciting new strategic partnership featuring Allison's eGen Power family of electric axles. As we have often said, there are more growth in technology initiatives happening at Allison today than at any other time in our history. We look forward to sharing this news along with more of our team's accomplishments in the coming months and quarters.  Turning to the supply chain. We continue to anticipate broad challenges that will impact the commercial vehicle industry's ability to align with customer demand for the foreseeable future. Despite these persistent challenges, as well as uncertainties surrounding various macroeconomic and geopolitical factors, end user demand remains strong. Production remains limited by inputs constraints, and the Allison team will continue to monitor the environment and take actions to address and mitigate production challenges.  Thank you, and I'll now turn the call over to Fred.
Frederick Bohley: Thank you, Dave. Following Dave's comments, I'll discuss the Q1 2022 performance summary, key income statement line items and cash flow. I'll then affirm the full year 2022 guidance.  Please turn to Slide 5 of the presentation for the Q1 2022 performance summary. Year-over-year net sales increased 15% to $677 million from the same period in 2021, resulting in the third strongest revenue quarter in Allison's history, as production continues to accelerate to meet resilient customer demand. The increase in year-over-year results was led by an 8% increase in the North American On-Highway end market, principally driven by continued strength in customer demand for last mile delivery, regional haul, and vocational trucks.  Year-over-year results were further led by a 30% increase in net sales and record quarterly revenue in Outside North America On-Highway end market, driven by improving demand across all regions and the continued execution of growth initiatives. A 14% increase in net sales in the Service Parts, Support Equipment and other end market, principally driven by increased demand for North American Service Parts and Global Support Equipment and a $30 million increase in net sales in the Global Off-Highway end markets, driven by improving demand for hydraulic fracturing applications in the Energy sector, as well as higher demand in the mining and construction sector.  Gross profit for the quarter was $320 million, a 10% increase from the $291 million for the same period in 2021. The increase was principally driven by higher net sales and price increases on certain products, partially offset by unfavorable material costs and higher manufacturing expense commensurate with increased net sales.  Net income for the quarter was $129 million compared to $120 million for the same period in 2021. The increase was principally driven by higher gross profit, partially offset by a $15 million unrealized -- $15 million unrealized loss on marketable securities. Adjusted EBITDA for the quarter was $244 million compared to $222 million for the same period in 2021. The increase was principally driven by higher gross profit, partially offset by increased product initiatives spending.  Diluted earnings per share increased 21% to $1.30 from the same period in 2021, driven by higher net income and lower total shares outstanding. A detailed overview of our net sales by end market can be found on Slide 6 of the presentation.  Please turn to Slide 7 of the presentation for the Q1 2022 financial performance summary. Selling, general and administrative expenses increased $2 million from the same period in 2021, principally driven by higher commercial activity spending. Engineering, research and development expenses increased $5 million from the same period in 2021, principally driven by increased product initiatives spending.  Please turn to Slide 8 of the presentation for the Q1 2022 cash flow performance summary. Adjusted free cash flow for the quarter was $143 million compared to $107 million for the same period in 2021. The increase was driven by higher net cash provided by operating activities and lower capital expenditures. Consistent with Allison's prudent and well-defined approach to capital allocation, we settled $81 million of share repurchases during the first quarter or over 2% of outstanding shares. We also increased the quarterly dividend for the third consecutive year from $0.19 to $0.21 per share.  We ended the quarter with a net leverage ratio of 2.8x, a $145 million in cash and $645 million of available revolving credit facility commitments. And we continue to maintain a flexible, long-dated and covenant-light debt structure with the earliest maturity due in 2026. In February, the Board of Directors approved a $1 billion increase to stock repurchase authorization, bringing the total amount authorized under the program to $4 billion. As a result, we ended the quarter with approximately $1.2 billion of authorized share repurchase capacity.  Please turn to Slide 9 of the presentation for the full year 2022 guidance. We are affirming the full year 2022 guidance ranges released to the market on February 16. We expect net sales for 2022 to be in the range of $2.625 billion to $2.775 billion. Our 2022 net sales guidance reflects higher demand in the Global On-Highway, Global Off-Highway and the Service Parts, Support Equipment and other end markets as a result of the ongoing global economic recovery, continued strength in customer demand and price increases on certain products.  In addition to the Allison's 2022 net sales guidance, we continue to anticipate net income in the range of $430 million to $520 million. Adjusted EBITDA in the range of $865 million to $975 million. Net cash provided by operating activities in the range of $570 million to $680 million. Adjusted free cash flow in the range of $400 million to $500 million, and capital expenditures in the range of $170 million to $180 million.  Thank you. This concludes our prepared remarks. John, please open the call for questions.
Operator: . Our first question comes from the line of Rob Wertheimer with Melius Research.
Robert Wertheimer: Boy, there's a lot going on this quarter. You guys have announced a bunch of stuff, and so it's hard to limit to one question. I guess maybe since we've seen Off-Highway come back so strongly, whether Outside North America or whether we can do the whole thing. You've got a bunch of OEM wins that you maybe didn't have in years past. I don't know if you can help us understand how big that TAM is versus where you were sitting in prior peaks. And maybe just comment on the duration of the momentum of the sales you can see.
David Graziosi: Rob, it's Dave. So I think your question really focused on Off-Highway in terms of what's happening in that space. It's certainly been a strong recovery. As you know, oil is into an 18-month plus run at this stage. So if you just take it by region, North America, as we look at the market near term, tight supply is being maintained. Capital discipline is there. We would expect those conditions to carry, as you would expect. I think the public comments by a number of the larger fleets out there would certainly support that.  As you think about Outside North America, combination of mining, construction and energy, certainly continue to see strong market conditions. Although I would say some of the disruptions that you saw in -- you heard about in the first quarter in terms of some of the regional challenges, are having some level of impact in terms of supply chain there. So I would say, in general, lower volume markets appear to be struggling at some level more than some of the higher-volume markets.  So we've assumed that, that condition continues for the balance of the year relative to where we've seen prior cycles go. We view this as relatively early days for those markets when you look at how undersupply, they've been, as well as just broader demand conditions in terms of the last peak that we had, I think we were well on the other side of -- on an annual basis, including parts in excess of $300 million or $400 million as a total run rate to give you a measure there. So we think there's certainly some room to run from here.
Operator: Our next question comes from the line of Jamie Cook with Credit Suisse.
Jamie Cook: A nice quarter. I guess question for you, Fred, just in terms of how we're thinking about the cadence of revenue, and EBITDA, and margins relative to what you said last quarter. I think last quarter, you said you expected Q2 and Q3 revenues and EBITDA to grow from the first quarter. And I'm just wondering where we stand given the better than expected first quarter? And does that sort of imply we could be more towards -- the mid towards the high end of the range? Or am I missing something?
Frederick Bohley: Thanks, Jamie. This is Fred. It was a strong revenue quarter in North America On-Highway up 8%. Certainly, if you look at the industry production numbers, it would suggest that we outperformed there. Dave already talked about the strength in Global Off-Highway. So thinking about it from a cadence standpoint, we do expect Q2 and Q3 to be up from a revenue standpoint slightly. But again, I'd say that's slight. And then Q4 to be lower, normal sort of seasonal fourth quarter's expectation and really from an EBITDA margin standpoint, really the only outlier quarter would be Q4 -- sorry, from an absolute EBITDA standpoint, not from a margin standpoint. The outlier quarter would be Q4 with the softer revenue. So most of the commentary we provided relative to the rest of the income statement on the initial guide still stands. SG&A up slightly, but spend pretty evenly cadenced and still anticipating engineering R&D up 10% on a year-over-year basis.
Operator: Our next question comes from the line of Larry De Maria with William Blair.
Larry De Maria: Questions here. First on -- obviously, you announced a bunch of wins, and now you're looking to partnerships on coming. Can you just talk a little bit about what to expect with regards to partnerships? So these solutions with other suppliers, or are they going to be with OEMs? And more importantly, I'm trying to understand is how it might affect the margins going forward? And then to follow up on the last point that you just made on R&D up 10%. Just curious about your ability to flex that if next year, for example, softens with a recession, your ability to flex R&D up and down need be?
David Graziosi: Larry, it's Dave. So I guess I want to be clear in terms of your comment on -- or question around partnerships. Allison has been fortunate over the years to have partnerships at multiple levels. As we think about our strategic relationships, whatever term you want to use, and I would say, the team here certainly, despite some pretty challenging conditions over the last few years, has really invested a lot of time and effort supporting our customers, frankly, as well as our suppliers. So I think we feel well placed in that regard. There are always opportunities to work together. Frankly, I think the amount of interaction that we've had for a lot of different reasons over that period of time has served both parties' interest. So as we sit today, frankly, we think more broadly about that than we did several years ago. So to your question there more directly, we don't rule anything out. I think we have a tremendous amount of optionality around how we think about our different end markets, what the future holds. We've also maintained a fairly high level of optionality with our financial capability over the years to be at some level, opportunistic at the same time, be supportive along the way of various situations. So I think the growth initiatives, as we refer to them, will require a fairly heavy level of interaction. And I would say throughout, whether it's customers, suppliers, other technology relationships as well have continued to serve us reasonably well the last couple of years, and I would expect more of that here going forward. To your R&D question in terms of cadence, I'll go back to -- we invest in R&D based on opportunity sets, as we see our opportunities, they're relatively high right now. The amount of announcements that you've certainly heard from Allison over the last few years really supports that point, which is we're spending for good reasons. It's really very much market-driven to the extent that there are opportunities there, will continue -- our plan is to continue to invest at the same time. We've had experience in prior years, prior cycles with some level of adjustment in the market. The team here is well heeled in that thought process, and we'll certainly adjust accordingly. So I wouldn't say anything at this stage, is absolute with our business, and we'll take appropriate actions to mitigate and manage towards whatever those market conditions are. But I think the big takeaway here is maintaining a very high level of optionality, as we think about our business and our end markets going forward.
Operator: Our next question comes from the line of Tami Zakaria with JPMorgan.
Tami Zakaria: I have a couple, if I may. First question is, is the higher-than-expected first quarter revenue related to a timing of shipments? And if not timing-related, what's driving your conservatism and not raising the lower end of the revenue guide for the year?
Frederick Bohley: Sure, Tami. This is Fred. Timing is always challenging in these uncertain environments. Certainly, as I mentioned, our revenue, we would look to, as if we've outperformed industry builds. I think if you did a weighted average of industry builds, you'd expect our revenue to be flat. Certainly, we have some price in there. This is all relative to the North America On-Highway. There could be an element of timing there. Like I said, it is -- you still have situations where OEMs are red tagging trucks and stuff. Relative to the total guide, our initial guide was broader than normal, just due to the global uncertainties. And as we sit here today, I'd say uncertainty is elevated with the war in Ukraine, the supply chain still very challenged, some of the pandemic shutdowns you're seeing in Asia. So as we looked at all of the variables, felt that it was prudent to affirm our initial guide.
Tami Zakaria: Got it. That's fair. And if I can ask another one. What's the buyback cadence we should expect this year? Should it be similar to last year?
Frederick Bohley: Yes, Tami, this is Fred again. Last year, we bought back 12% of our outstanding shares over $0.5 billion of share repurchases settled. For the first quarter, as we said in our prepared remarks, over $80 million of repurchases settled about 2% of shares outstanding. Really from a capital allocation standpoint, our priorities remain the same: fund organic revenue and earnings growth. New product and technology development. And you see us doing that. A midpoint guide on CapEx of $175 million, $190 million planned spend on Engineering and R&D, then it's strategic acquisitions, return of capital to shareholders, prudent balance sheet management, and maintaining the optionality with the low-cost flexible prepayable debt structure. So that optionality is very important to us. We're fortunate that we generate -- this business generates more cash than it needs. We have raised the dividend 3 consecutive years. It's our intention to fund our capital allocation priorities, and that's going to include returning capital to shareholders. We'll do that in an opportunistic way. So we certainly don't lay out the cadence publicly in which we plan to do that. But I think past history provides a really good example. And I think we have a very shareholder-friendly capital allocation policy.
Operator: Our next question comes from the line of Tim Thein with Citigroup.
Timothy Thein: Fred, maybe just curious as you think about the guidance, what it assumes in terms of price cost. I mean, you -- obviously, the commodity environment looks a bit different than it did the last time we spoke. So has there been any change there? I know there was also some potential for some additional pricing actions. So just maybe how those 2 are kind of settling out as how you think about the balance of the year?
Frederick Bohley: Sure, Tim. Yes, as we -- as I mentioned with the initial guide, definitely seeing cost pressure still coming in. And while we had talked about 275 basis points in price, certainly still commented that we were out looking for additional opportunities. So as we think about price, fuel is more expensive, the total cost of the vehicle is more expensive. And our transmissions, they save fuel. They get more work done in a day. So when the price of that vehicle goes up, our transmission is worth more. With our current roll-up, we do have more price in there, roughly 375 basis points. So about another 100 basis points of price on a year-over-year standpoint. That's all really Commercial pricing. That initial guide was 150 basis points. We're now at 250 basis points. And then we have the commodity pass-throughs, which are going to pick up about 125 basis points to get you to the 375. To the extent that commodities are elevating, most of those pass-throughs to our customers will happen 1/1/23. So as we sit here, we're really in a similar spot, slightly price cost favorable. And certainly, we're going to realize about 100 additional basis points of price, but we've continued to see cost inflation. So -- and our cost has elevated versus what we had in the initial guide. Hopefully, that's helpful.
Operator: Our next question comes from the line of Courtney Yakavonis with Morgan Stanley.
Courtney Yakavonis: I appreciate the update on price cost. Maybe if you can also just give us an update on the supply chain. I think last quarter, you characterized it very much as impacting industry production and not necessarily you specifically. Is that still the case? And acknowledging that you haven't raised the consolidated sales guidance. Any comment about the changes of maybe some of the makeup of the guidance by end market that you were targeting, especially given that you're outperforming On-Highway in the first quarter?
David Graziosi: Courtney, it's Dave. I guess let me start with the supply chain. As I mentioned on the last call, the process continues to take an extraordinary amount of time for our team and our partners to manage. So I don't -- I would not say that's unfortunately improved significantly in terms of the resources that are being required to manage it. We've seen some limited amounts of improvement in a few areas. I don't think chips are getting the type of attention that they were, which is good. It's more sporadic and obviously very much application dependent. So I think we feel better positioned there. That being said, if you -- the words I used earlier in terms of inputs constraints, that's a much broader topic, because you're getting into not only actually finished components or subcomponents, but we're now talking about labor, logistics, lead times for raw materials, et cetera. I would submit not a tremendous amount of improvement broadly there. And I think it's something that we are continuing to monitor very closely and put effort into. It really comes back to when you look at the OEMs, I think they have a pretty high level of certainty around what their order books look like. The challenge, of course, as we've said many times, is it takes all of us to have the complete set of components to complete a product, and that continues to be a challenge throughout the industry. With that, I would say it's safe to assume for certain regions, North America being one of them, there continues to be a trend towards making sure the higher-margin vehicles, trucks are getting out the door. So you can see that in some of the mix in the broader market. And I think that will continue to be the case until there is more availability in terms of certainty around production.  But the issues are there, as I mentioned earlier, at times lower volume models, if you will, can be more problematic, because they're typically are done in smaller batches. So you're having to do trade-offs with your supply base, et cetera. So the team is working extraordinarily hard with our partners to make all of that happen. But the key takeaway is, it's, I would say, slightly improved, but still taking an outsized amount of time and attention to manage. The sales guide by end markets, given Fred's comments, and you can see in the press release affirming the full year guide, if you -- to your question, if you talk about puts and takes, I would not say they're really dramatically different.  What we assume the overall full year guide to be by end market, the puts and takes, I would probably place us in a little bit better shape, Global On-Highway. And I would say beyond that, certainly to the pricing opportunities we mentioned on the February call and our -- we're certainly talking about here again, continue to provide us with some opportunities. But I would say, broadly by end market, consistent view of where we were back in February.
Operator: Our next question comes from the line of Jerry Revich with Goldman Sachs.
Jerry Revich: Nice quarter. Dave, you've spoken about working with the bulk of your current customer base on electric vehicle products. I'm wondering if you could just talk about when do you expect major platform decisions or major milestones in the valuation process. And as we look at the R&D that you're devoting to those efforts, your R&D to sales is up 2%, 2.5% of sales over the past 5 years. Is it fair to view that as how much you're investing in developing those new products?
David Graziosi: Jerry, I appreciate that question. So we continue to have a high level of interest in our electrified products. I would say the efforts continue broadly -- from a timing perspective, I would really point you towards what the OEMs are forecasting, which as I understand, that are in a handful of hundreds in many cases. That's not even low rate initial production by industry standards. So I think it will be, to answer your question directly, very slow ramp here.  I would also -- to the earlier question on supply chain, it's not just limited to the conventional business. The -- when you look at electrification and the supply base there, it's having its challenges as well, especially given some of the lower volumes that I just referred to. So it's a compounded problem of what the real underlying demand is, how ready the market is for products. There's clearly some demand, but I would say it's at an extremely low level right now. And we'll let the OEMs continue to progress their programs. We feel good about our overall positioning. But as we've also said, taking the time for us to do it right with the right parties, with the right outcomes, is really what ultimately our focus is, -- on your spending comment, as we've mentioned out of the 2022 guide, a significant portion of the R&D spend is committed to EV. It's opportunity driven, as I said earlier, and we continue to see significant opportunity in that space to ultimately expand our addressable market. Having said all that, you're still in a position of relatively slow ramp rates here, which is why I think you're continuing to get some feedback from at least the commercial vehicle side of expectations about what this is going to look like over the near to medium term. But we're happy with the progress we're making and continue to engage at a high level with our customers.
Operator: At this time, we have reached the end of the question-and-answer session. And I will now turn the call back over to Dave Graziosi for any closing remarks.
David Graziosi: Thank you, John. Thank you for your continued interest in Allison and for participating on today's call. Enjoy your evening.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation, and have a great day.